Operator: Good day, everyone. Thank you for standing by. Welcome to the Xperi Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Sam Levenson from Arbor Advisory Group. Sam, please go ahead.
Samuel Levenson: Thank you, operator. Good afternoon, and thank you for joining us as Xperi reports its fourth quarter and full year 2025 financial results. With me on today's call are Jon Kirchner, Chief Executive Officer; and Robert Andersen, Chief Financial Officer. In addition to today's earnings release, there's an earnings presentation on our Investor Relations website at investor.xperi.com. We encourage you to download the presentation and follow along with today's commentary. Before we begin, I would like to provide a few reminders. First, I would like to note that unless otherwise stated, all comparisons are to the same period in the prior year. Second, today's discussion contains forward-looking statements about our anticipated business and financial performance that are predictions, projections or other statements about future events, which are based on management's current expectations and beliefs and therefore, subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from what we discuss today, please refer to the Risk Factors and MD&A sections in our SEC filings, including our Form 10-K for the year ended December 31, 2025, to be filed with the SEC. Please note that the company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. Third, we refer to certain non-GAAP financial measures, which are detailed in the earnings release and accompanied by reconciliations to the most directly comparable GAAP measures, which can be found in the Investor Relations section of our website. Last, a replay of this conference call will be available on our website shortly after the conclusion of this call. I'll now turn the call over to Xperi's CEO, Jon Kirchner.
Jon Kirchner: Thank you, Sam, and thank you, everyone, for joining us on our fourth quarter and full year 2025 earnings call. As we finish the year, it seems an appropriate time to look at the investments made over the past few years, appreciate our recent progress in hitting key metrics that set the stage for future growth and discuss the next phase of focus for the business, substantive revenue increases through advertising and data monetization. Let me first provide an overview of the progress we made during the quarter against this past year's goals. Progress that continues to give us confidence in our belief that we're reaching a key inflection point as a business. There are 3 key areas of progress over the past year. First, at the end of 2025, we reached 5.3 million monthly active users on our TiVo One ad platform, surpassing the year's goal of 5 million and registering an increase of over 250% over the course of the year. As I've noted in the past, footprint growth is critical for us to reach larger scale in the U.S. and the larger European countries, which in turn is expected to facilitate more effective monetization of our installed base. Next, in the Connected Car market, our DTS AutoStage footprint also continued to grow, reaching over 14 million vehicles, 40% growth when compared to the prior year. We believe AutoStage is a unique platform, both in terms of scale and reach, and we are already seeing signs of the platform's value as we progress advertising and data monetization trials with ecosystem partners. And finally, in our Pay TV business, our video over broadband subscriber count grew 25% year-over-year to reach 3.25 million subscriber households. Subscription-based revenue from IPTV continues to build, which we believe will provide a balance within our Pay TV business as revenue from our older Pay TV products is expected to continue to decrease. Thus, we expect the Pay TV business will level out over the next several years as our IPTV business continues to serve those customers that want a flexible IPTV streaming bundle in a modern, rich and compelling user interface. We also anticipate broadband households will provide additional streaming monetization opportunities. Turning to our summary financial results for the quarter. We recorded consolidated revenue of $117 million, a decrease of $6 million compared to last year as growth in Media Platform and Connected Car were more than offset by a combination of anticipated decrease in Consumer Electronics, driven by lower demand and memory cost and supply chain issues and Pay TV, which benefited from minimum guaranteed arrangements recorded in 2024 that didn't occur in 2025. During 2025, we proactively reduced non-GAAP adjusted operating expense, lowering it by 13% compared to 2024. This change was primarily due to workforce reductions that were implemented over the past year. We achieved adjusted EBITDA of $22 million for the quarter, bringing the year's adjusted EBITDA to $77 million or 17% of revenue, which was at the high end of our outlook range for the year. We also recorded operating cash flow of $4 million in the quarter, bringing operating cash flow close to neutral overall for the year. Let me now go through each of our 4 business areas, starting with Media Platform. As noted earlier, we reached a key milestone for our TiVo One ad platform by hitting 5.3 million monthly active users at year-end, a remarkable achievement for both growth on the platform and acceptance of our TiVo operating system into the market. We continue to add new capabilities for the TiVo operating system, including the deployment of Blacknut Cloud Gaming and demonstrations of the operating system directly on high-end mini LED smart TVs, set-top boxes and sound bars. We also deployed a video-based homepage ad unit to provide advertisers with more ways to reach our audiences. Within Media Platform, we achieved significant revenue growth in advertising when compared to a year ago, with average revenue per user for TiVo One finishing the year at $7.80, down slightly from the prior quarter due to our user base growing faster than related monetization revenue. We expect ARPU to take a bit of time to normalize as both revenue and footprint growth are expected to accelerate on the platform. Advertising partnerships continue to be an important foundation for our goal of accelerating revenue growth. And during the quarter, we entered into new agreements with Titan Ads, OpenGlass and Anoki, all well-known industry resellers of premium CTV inventory, such as home screen video ads in the European and U.S. markets. We also launched FreeWheel as a new supply-side demand partner and began generating revenue through the partnership. Our advertising business also saw progress through our direct sales efforts with homepage ad campaigns executed for clients, including Hallmark Media, Freeform, NBCUniversal and TNT. Moving to Connected Car. The momentum for DTS AutoStage continued with the signing of Mercedes Benz to launch DTS AutoStage video service powered by TiVo. This win adds another major OEM launching on our Connected Car video platform, which we believe cements our position as a leading supplier of Media Platforms to automotive OEMs. It's worth noting that Mercedes is the first car brand to offer all 4 of Xperi Connected Car solutions, HD Radio, DTS:X immersive sound, AutoStage audio and video powered by TiVo. As a leading brand that often sets direction for the automotive industry, we believe Mercedes support furthers momentum for our Media Platform and technology solutions. At year-end, AutoStage had a footprint of over 14 million vehicles from many automotive brands. Also during the quarter, we added a significant number of radio broadcasters across the U.S., Europe, Australia, Lat Am and Africa, further expanding the global services connected to the AutoStage platform. Our HD Radio solutions saw continued adoption with several new models from Toyota, Honda, Audi and others launching in the fourth quarter. We also signed a multiyear agreement with a large U.S.-based Tier 1 supplier that is expected to provide a cost-optimized HD Radio implementation over the next few years, which we believe will further propel the growth of HD Radio among major car brands. Finally, we also signed a multiyear DTS audio deal with a large Asian Tier 1 supplier, which is expected to secure our DTS decoder in a number of future car programs. Moving to our Pay TV business. As noted earlier, our IPTV subscriber base continued to grow, increasing by 25% year-over-year to hit 3.25 million subscriber households at year-end. For our managed IPTV service, we posted wins with [ Prism Fiber ] and MIDTEL in the U.S. and with Celerity and MOPC in Canada. We also continued to grow our broadband-only wins, including new deals with Blue Stream Fiber, Buckeye, [ Prism Fiber ], MIDTEL, Carnegie, Hickory and Velocity. During the quarter, we signed multiyear agreements with ClaroVTR for IPTV services in Latin America and with Frontier Communications in the U.S. for content discovery services. In addition, we signed a notable multiyear agreement for classic guides technology with Canadian-based telecom operator, Cogeco. Moving to our Consumer Electronics business. During the quarter, we continued to expand the IMAX Enhanced program with new product categories such as high-end earbuds. We also saw adoption of the program by Yamaha and the signing of a key renewal with Onkyo. Now all major audio-video receiver manufacturers are participating in the IMAX Enhanced program, which we believe reflects its position as the premium audio/video solution in the marketplace. We also signed a decoder and post-processing renewal with Sound United, which owns premium brands like Denon and Marantz. Lastly, we signed a multiyear agreement with a leader in the PC space, covering sound technologies for consumer products as well as extending audio technology penetration into its commercial products. In a few moments, I'll turn to a discussion of our pivot to audience monetization, advertising and growth. But let me first turn the call over to Robert to discuss our financial results in more detail. Robert?
Robert Andersen: Thanks, Jon. Let me start by reviewing revenue results for the quarter. Overall, revenue finished at $117 million, lower by 5% when compared to last year. As Jon noted earlier, we had 15% revenue growth in Media Platform due to significant growth in advertising revenue, along with 5% growth in Connected Car revenue from higher minimum guarantee arrangements that were completed during the quarter. This growth was more than offset by a 21% decrease in Consumer Electronics revenue, driven by lower customer demand due to memory costs and supply chain issues, along with a 7% decrease in Pay TV revenue from minimum guarantee arrangements recorded in the prior year and due to lower revenue from our end-of-life consumer DVR business. Looking at overall financial results, our non-GAAP operating expense for the quarter improved by $10 million or 13% compared to the same quarter of 2024 due primarily to proactive personnel reductions implemented over the course of 2025. We posted $22 million of adjusted EBITDA or 19% of revenue, essentially in line with last year's numbers. Non-GAAP diluted earnings per share was $0.24, lower than the prior year by $0.15 due primarily to lower non-GAAP tax expense in the fourth quarter of 2024. Turning to the full year results. We finished 2025 with revenue of $448 million. This was a 9% decrease compared to the prior year due to 2 primary areas. First, we saw a 21% decrease in Pay TV revenue due to an expected reduction in core Pay TV revenue from overall industry trends, a challenging comparison with a significant multiyear minimum guarantee agreement that we recorded in 2024 and from the ongoing reduction in our consumer business as our DVR products have entered end of life. And second, our Consumer Electronics business decreased by 5% compared to 2024 due to disruptions in unit volumes from memory supply issues as well as the comparable of revenue from the divested Perceive business that was sold in late 2024. Our Connected Car business posted 12% year-over-year growth due to a higher volume of minimum guarantee arrangements where the revenue is required to be recorded upfront. Our Media Platform business was essentially flat year-over-year as growth in advertising revenue was offset by expected decreases in both middleware licensing and revenue from our Stream 4K device. Turning to overall financial results for the year. Our non-GAAP adjusted operating expense of $274 million improved by $60 million or 18% compared with the prior year due primarily to reductions in headcount implemented during the year, the divestiture of Perceive at the end of 2024 and the shifting of certain operating expenses to cost of revenue as newer products have begun generating revenue. We finished the year with adjusted EBITDA of $77 million or 17% of revenue, resulting in growth of 2 percentage points when compared to 2024. Turning now to the balance sheet and statement of cash flow. We finished the fourth quarter of 2025 with $97 million of cash and cash equivalents, which was level with our balance from the third quarter of 2025. We generated $4 million of operating cash flow in the quarter, which was $3 million higher than the same quarter in 2024. For the full year, operating cash flow was $0.5 million usage, right in the middle of our updated guidance range of neutral operating cash flow, plus or minus $10 million. Notably, achieving essentially neutral operating cash usage for 2025 demonstrates a significant improvement over prior year, where our operating cash usage was $55 million. We had $2 million of free cash flow usage in the quarter. Let me now turn the call back over to Jon to cover our key operating metrics and objectives going forward.
Jon Kirchner: Thanks, Robert. Five years ago, when we began the journey to combine TiVo and Xperi, we recognized that the product business would need to go through a meaningful transformation, significantly changing cost structure and operating model as viewership shifted from traditional media to streaming. As we close out 2025, a few years into our journey as a stand-alone independent company, I'm pleased to report that many of our previously stated long-term goals have either been achieved or we have direct line of sight to accomplishment in the next 12 months. This includes our goal of growing our MAU platform from the more than 5.3 million users towards our goal of at least 7 million, something we expect to surpass during 2026. We also set an initial goal of 4 smart TV partners, which has now been exceeded for a total of 10, which we believe validates the market need for an independent TiVo OS platform. In addition, we sought to grow our IPTV subscriber base to at least 3 million subscriber households, a goal that has now been surpassed. In Connected Car, we had previously set a long-term goal of building the AutoStage platform footprint to at least 15 million vehicles. By year-end, we had surpassed 14 million, and we have line of sight to meeting and exceeding our goal of 15 million vehicles in 2026. With that scale, we expect to progress auto monetization trials with broadcast and OEM vehicle partners with the goal of enabling monetization-based revenue growth to accelerate in 2027 and beyond. So as we've made multiyear investments and seen tremendous progress in building the critical foundations for a long-term monetization business in both the home and the Connected Car, we feel confident in our belief that we've reached an inflection point in our business. With increasing amounts of audience engagement across our home and Connected Car platforms as consumers watch video and listen to radio content, we have the opportunity to connect advertisers with our unique audiences providing enhanced targeting and data solutions. We believe that being the only independent omnimedia platform with scale that can deliver high-value TV home screen ad units along with the opportunity to reach unique engaged audiences in the Connected Car is a combination that differentiates our Media Platform from others in the marketplace. This strategic positioning, combined with our established presence in both programmatic and direct sold advertising markets with anticipated growing demand for premium ad inventory gives us confidence in our expectation of successfully selling our owned and operated ad inventory to drive meaningful monetization revenue growth. We expect that during 2026, we'll see Media Platform revenue double, and that growth will continue to build in 2027 as our footprint continues to scale, and we have more sellers working with our platform. We also expect that as footprint scales and ad sales ramp up, ARPU will normalize as a result. As we exit 2026, we expect ARPU to exceed $10, growing over time towards $20-plus, driven by increased engagement and ad optimization. As we turn to 2026, let me provide a few business metrics we'll be using to gauge our progress this year. First, our goal is to grow our MAU footprint beyond 7 million. This, in turn, is expected to expand the opportunity for monetization downstream over the typical 5- to 7-year life of TV ownership. Second, as we expand our selling efforts, our goal is to double Media Platform revenue and exit the year with ARPU above $10, which will provide further evidence that we're selling ever more data and advertising across our media platforms. Third, with an installed base of over 14 million vehicles with DTS AutoStage, we expect to generate ads and data monetization revenue on the AutoStage footprint. Taken together, achievement of these goals will provide further visibility to the growth potential and strategic value of our Media Platform business. Let me now turn the call back to Robert to discuss our outlook for 2026.
Robert Andersen: Thanks, Jon. Before I provide our outlook for the year, I think it would be helpful to understand how the parts of our business are trending. As Jon discussed earlier, we expect Media Platform revenue to double relative to 2025, reflecting our belief that we have reached the inflection point for advertising monetization. We believe this growth, in addition to continued growth in our Connected Car business will substantially offset anticipated decreases in our Pay TV and Consumer Electronics businesses in 2026. Notably, we believe certain legacy Pay TV product lines are nearing the end of significant decreases and the business is expected to level out behind IPTV subscription growth over the next several years. Also, we expect our Consumer Electronics business to face challenging comparisons in 2026 due to a number of multiyear deals recorded in prior periods that will impact revenue in 2026, but are expected to be recontracted in 2027. Now to our outlook for 2026. We expect full year revenue to be in the range of $440 million to $470 million. This range reflects our expectation of doubling Media Platform revenue and takes into account our current view of broader market risks across our business, including memory and supply chain challenges and other macro uncertainties. Consistent with the normal pattern of our business, we expect the year's revenue to be slightly weighted to the back half of the year. For adjusted EBITDA margin outlook, we expect a range of 17% to 19%, which reflects the benefit of expense reductions from 2025 with the range corresponding to the width of our revenue guidance range. Operating cash flow is expected to be between $15 million to $25 million and capital expenditures to be between $15 million and $20 million, yielding positive free cash flow at the midpoint of these ranges. On other items, we expect non-GAAP tax expense to be approximately $20 million and our diluted share count to be between 48 million and 49 million shares. Also, from a GAAP-based perspective, we expect stock-based compensation expense for 2026 to be approximately $31 million, lower by 25% from the $41 million incurred in 2025. Let me turn the call back over to Jon for final comments.
Jon Kirchner: Thanks, Robert. As you can gather from our narrative on this call, we're pleased with the significant progress we've made on our key strategic objectives. We believe we are now at an inflection point for the growth of advertising revenue on our Media Platforms business. It's good to finally have some wind at our backs rather than facing consistent headwinds in our efforts to transform and reposition our business. That concludes our prepared remarks. Let's now open the call for questions. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Jason Kreyer with Craig-Hallum.
Jason Kreyer: So just a quick question on the Smart TV side. Curious what the mix of that is between European markets and domestic markets and how that's trending or how you expect that to trend over the course of this year?
Jon Kirchner: Yes. Jason, Currently, the TiVo One installed base is basically roughly 60% in Europe, 40% in the U.S. And keep in mind that, that not only reflects TVs, but reflects IPTV boxes that are running the TiVo One ad platform, which are predominantly in the U.S. I think over time, you'll see that mix start to change as we see a second TV OEM show up in the marketplace here in the U.S. But there's no question in the near term, it's going to be more European weighted.
Jason Kreyer: And then you had a release earlier this year, you're launching home screen ads on TiVo. That's been a pretty big driver for capturing incremental spend for a lot of platforms out there. Just curious if you can frame your expectations for contribution there.
Jon Kirchner: I think it's an important part of how we think about the monetization opportunities on our platform, in part because the home screen represents maybe the most valuable piece of real estate as people begin to engage with content and jump from one piece of content to another. We've got a robust offering there from a home screen capability in terms of what the ad unit can do. And I think along with, obviously, in video ads, along with data monetization, all 3 of which kind of combine to form the basis of our expected revenue growth this year and really that represents the revenue in the ad monetization business for us, I think we feel like we're pretty well positioned. The reactions we've gotten to our home screen ad unit from partners is very strong.
Operator: And our next question comes from the line of Hamed Khorsand with BWS Financial.
Hamed Khorsand: I'm just trying to get clarification on the ARPU for TiVo One. You said there was an acceleration in usage, but you only went up by 500,000 subscribers sequentially. In the prior quarter, you went up by 1.1 million, and you were able to achieve the ARPU -- a higher ARPU. So I'm just trying to understand why ARPU declined this time even though the growth was slower.
Jon Kirchner: So Hamed, you've got a couple of things that are going on in the revenue calculation, which I think we actually published a definition of how you get there. There is remember, it's a lagging indicator over 4 trailing quarters. So depending on how that average moves relative to how dollars are starting to appear on the platform, there's also some dollars that are covered in certain campaigns that get amortized across your footprint in that calculation. So depending on the relationship between the growth of footprint to the growth of revenue, that's why the ARPU metric will certainly move around at the beginning. Over time, as you end up with a more normalized situation where there's more, let's call it, consistent growth on the platform, and there's obviously ever more the numerator to that calculation continues to grow, I think our expectation that you'd see it more consistently be up and to the right. Robert?
Robert Andersen: And let me add in. I think for the denominator here for the average monthly active users, that the number has continued to increase pretty substantially. If you just look at MAU growth from Q3 to Q4, 10% sequential growth, so $4.8 million to $5.3 million. And over the course of the last year, it's grown from 1.5 million at the end of 2024 to $5.3 million at the end of 2025. So 250% growth. What we're finding is that our user base is growing faster than the attendant advertising associated with that base. It takes a little while for the new TV to start to generate revenue. So that might explain a little bit why you saw -- well, that does explain why you saw a slight decline in the ARPU, down to $7.80 at the end of the year. That's going to fluctuate a little bit just depending on the growth rates of the 2 pieces, the numerator and the denominator. Does that help, Hamed?
Hamed Khorsand: That's helpful. And then the other question is, are you done with the cash expense side of the cost savings initiatives, the headcount reduction that you were undertaking?
Robert Andersen: No, we'll have some costs in Q1 as well. We incurred some of the cash expense in Q3 -- excuse me, Q4, but we'll have some in Q1 as well.
Hamed Khorsand: Okay. My last question was you were talking about monetizing the AutoStage platform, I'm assuming this year. Is it -- have you already started doing so? Or is there a time line as to when you expect to do so?
Jon Kirchner: I think it will play out as you get more towards midyear, some of the beginnings of it. We are well engaged on a number of things. And I think the first part that we'll begin to see, Hamed, is data-related monetization, more so than ad monetization because we're generating a lot of data from the platform that is of tremendous interest to advertisers and broadcasters. And as I said, we're well into a number of conversations. And on the back of that is where you'll see the ads piece of that start to show up. There's continuing work there as well. So in short, we've got a very, very unique platform that is quite large. And from a from a perspective of thinking about the radio industry with lack of real targetability, et cetera, et cetera, and even measurement still being, let's call it, dated in its methodology, we have a real-time system that gives a tremendous amount of information to people about what consumers are engaged with, what content, et cetera, how trending is happening. And all of that, I think, puts us in a pretty interesting position. And one other adjunct to that, of course, is more effective advertising is almost -- is completely dependent on having ever better data. And one thing that's not lost on us is being one of the largest providers of contextual data around media assets, both music and video. It's part of the reason we think as you put all this together, we have a really unique opportunity to provide unique solutions that are value-added across not only in one environment like the car, but across environments as you think about the home and the car.
Operator: [Operator Instructions] And our next question comes from the line of Matthew Galinko with Maxim Group.
Matthew Galinko: Would there be a geographic bias to the Connected Car monetization as that starts coming in, I guess, midyear in '27?
Jon Kirchner: I think certainly, you'll see -- I would expect you to see it more North America-based initially. But some of the work we're doing is with folks outside the United States already as well. So I think you'll see a European element of that and possibly further geographic expansion. It's broadly of interest to the industry at large across the globe.
Matthew Galinko: Got it. And as we think about that $20 ARPU number, can you maybe talk about what you're seeing today that gives you confidence that we get there over time? And kind of what time frame are you thinking about getting to that number?
Jon Kirchner: Well, I think what gives us confidence is there are robust markets and tremendous interest in better targeting solutions and premium CTV inventory. And I think being an independent provider plus having heavy using IPTV households that represent some unique audiences not typically part of the mix for many advertisers. We have the opportunity to, I think, optimize engagement on the platforms, which in turn, as the footprint continues to grow, those 2 things will drive higher ARPU where there's established markets for what we're trying to do. So -- and we're working, as we talked about on this call, in particular, with a number of partners who have tons of experience and in many ways, are making the market happen today with selling these ad products and connecting them with brands and advertisers who have an interest in reaching consumers. So I think everything about it gives us confidence that provided we continue to execute well and plug into the various ad markets, whether they be programmatic or with direct sellers, whether they be employed by us or employed by resellers, that if we have the ad units and we have the audiences that continue to grow as we continue to optimize engagement that you will ratably continue to see ARPU grow. The exact timing of getting from where we are today to north of $20, I think we're very interested in seeing how with more and more sellers coming online in the course of '26 and how all that plays out, that will give us a better sense of how and when we think we'll achieve that. But we know there's plenty of precedent for those kinds of numbers. We're a little bit different because our mix is Europe and the U.S., not just U.S. alone. But the one thing I would tell you about Europe that may be notable is that there's even larger dislocation between where the ad dollars are in Europe meaning far more ad dollars, roughly 75% of all your ad dollars in Europe are still connected to linear, even though streaming viewing obviously is an ever-growing percentage of total audience engagement. And so what does that mean? It means over the next few years, there's plenty of expectation that you're going to see more ad dollars aggressively move out of linear into streaming. And as that happen, the real estate -- as that happens, the real estate around home screen and streaming engaged audiences becomes more valuable, which in turn will drive up the ARPU associated with that in Europe as well.
Matthew Galinko: Got it. And if I could just sneak 1 last question in. On the Consumer Electronics business, I guess how does the supply chain issue factor into 2026 outlook there? I think you mentioned a lower mix of minimum guarantees also impacting '26. But what is your expectation for supply chain and memory shortages?
Jon Kirchner: Well, I think we know it's impacting how people think about their product planning in terms of what manufacturing planning looks like, what pricing looks like and in turn, what consumer demand ultimately looks like in the face of potentially more challenging pricing or availability. So I think we -- based on our conversations with analysts and with our industry customers, I think we're taking a cautious view of what that looks like. And remember, a good portion of our business is still unit-based. So depending on how that plays out, that will ultimately determine what the CE revenue in total looks like. So I think we're sitting here cautiously, just kind of watching carefully. We've also got people that are still grappling with an ever-shifting tariff environment and what does that mean for their own supply chains and where do they want to be and that kind of thing, which has the impact sometimes of impacting how think about -- how people think about production plans or even their partners as they -- if they're producing with partners. So I think all of that leads to some slight uncertainties that are factoring into how we think about CE.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Jon Kirchner for closing remarks.
Jon Kirchner: Thanks, operator. We're pleased with the meaningful progress we made last year, and I want to thank the entire Xperi team for their continued focus and execution as we work to deliver long-term value for our shareholders. We look forward to sharing further updates with you on our first quarter call, and that concludes today's call. Thanks for joining, everybody.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.